Operator: Good day, ladies and gentlemen. Welcome to the Comstock Mining’s First Quarter 2015 Results and Business Update Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a brief question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Corrado De Gasperis. Please go ahead.
Corrado De Gasperis: Thank you, Michelle, and good morning, everyone. This is Corrado. And welcome to our 2015 first quarter conference call. I also have with me Judd Merrill, our CFO, who has led our team in an effort to improve the timeliness of our reporting results not to mention streamlining and reducing our costs over the past year. Last night we filed again our 10-Q on a 15-day foreclosing audit review and reporting cycle. We will provide a brief summary of the information included in our 10-Q filed last night and our press release from this morning. Also we are really looking forward to the Annual Meeting this year being held much earlier on May 7th may possible in part by these faster reporting cycles. If you don’t have a copy of today’s release you will find a copy on our website at www.comstockmining.com under news/press-releases. Speaking about the website, excuse me, we have also posted in webcomic version of our annual report and proxy statement on the Homepage and it’s got this neat, like user friendly electronic page turning feature. Please take a look at it when you can. I will also refer to the website on a couple of other occasions this morning, where we have been able to post some really remarkable pictures of the road move progress, the mining, the excavation activities and even just some spectacular pictures of capping the historic Silver Hill Shaft. We have also got some good pictures of the underground target that I am going to be speaking about. Although, those are a little bit more of a teaser and there is a lot more to come in the next few weeks on that front. Please also let me remind you that in addition to the outlook, we may make forward-looking statements on this call. Any statement related to matters that are not historical facts may constitute forward-looking statements. The statements are based on current expectations and are subject to the same risks and uncertainties that could cause actual results to differ materially. These risks and uncertainties are detailed in the reports filed by the company and the SEC and in this morning's release, and all of the forward-looking statements made during the call are subject to those same risks and other risks that we can identify. Okay, let me briefly overview some of the first quarter highlights. It was actually incredibly active quarter with some major strategic advancement, including advancing the leach pad, expansion ahead of schedule and a huge leap ahead in terms of moving the State Route. But truly as dramatic as that last story line was, the focus was and continues to be on lower costs and the safest possible operating performances. Despite already having reduced costs applicable to mining by almost $7.5 million when we were comparing 2014 to 2013, we further reduced the mining cost here in the first quarter by 22% when comparing to the first quarter of last year or over a $1 million driven by streamlined mining labor, operations and even lower fuel costs. We have also reduced administrative costs by an additional $0.5 million in the quarter. Although, we did incur about $400,000 in one-time cost overall to effect all of those changes. The operational improvement were lead by a 63% improvement in weighted average gold grade to 0.039 ounces per ton in the first quarter of this year, as compared to 0.024 ounces per ton in the fourth quarter of last year. That was coupled within even higher improvement 113% in weighted average silver grade to 0.734 ounces per ton in the first quarter of this year from 0.345. Let me say that again, from 0.734 ounces per ton this quarter from 0.34 ounces per ton last quarter, so more than 100% improvement there. Silver to gold production exceeded 11 ounces of silver poured for every ounce of gold so far this year. That’s consistent with our full year average to last year and up meaningfully from the first quarter of last year. Metallurgical yields continued running extremely well, holding at the 81% for gold during the first quarter of 2015. You may recall, we ended last year on that note and that’s also up from 74% in the first quarter of last year. Most dramatically, our strip ratio improved all the way to averaging 1 ton of waste for 1 ton of ore. So that’s a 1 to 1 strip ratio for the full first quarter of 2015, down from an average of last year, as most of you recall, closer to 5 to 1 for the year and even though it was below 3 to 1 by the end of the year, getting to 1 to 1 for the first quarter is really outstanding for us. Substantially all of that improvement came from the mining plant and the mining of the flatter Lucerne mine areas, with just under only about 34,000 tons of the ore that we mined this quarter coming from that, really lower or low to no strip material from the dump. So we are actually expecting the strip ratio to continue to improve as we interface and integrate more of this dump material into the mine plant. So we are look forward to some pretty good quarters in that context coming up this year. Mining revenue was $5.9 million for the quarter, as compared to $5.6 million last quarter of last year, first quarter of last year, sorry. Although, that was a 6% increase from the same quarter. This really was our only real disappointment this quarter. The revenue was slightly below what it was last quarter and it was really driven by the fact that we had almost three full-week in February where we didn’t crushing stack ore. Two of those weeks were plant downtime and associated with our heap leach expansion and extra week of downtime came because of the activities around the road. The road closure ultimately is an amazing outcome for the community to county and for us, but there was a quite a bit of planning and coordination and synchronization that had to occur with many, many parties and we loss some production ton because of it. We didn’t loose productivity because our current organization is quite flexible. We have crews now that can be mining, they working and expanding leach pad for those weeks in February. They’ve been working directly on constructing the road. And as I mentioned, there is some great pictures on the website those are our crews doing that work. Although, we are being supervised by NDOT, we are really doing all the work ourselves. So we are quite productive through the quarter. It just for those few weeks in February it wasn’t driving revenue. During the first quarter though we did realized a very good average gold sales price, we are proud of that performance. We ended up the quarter averaging just over $1,280 price per ounce of gold, partly by capitalizing on just booking and pricing more ounces there in January when gold ran up to just over $1,300. In comparison the gold market price in the first quarter averaged a little over $1,219 per ounces of gold. So we did possibly enhance our revenue from a pricing perspective. Net cash generated by operating activity was a positive, $0.2 million in the first quarter of 2015. That’s our fourth positive quarter in generating cash from operations. We are very happy about that. We are looking very much forward to growing that number and it’s remarkably up from the prior year, where we used $2.5 million in cash rather than generating some cash. Net income was also positive $1.3 million, yes, that is our first net income for a quarter. We are very happy about it. It was driven by a number of things, most strongly by lower costs in the quarter, higher relative revenues and we did have a purposeful elimination of some liabilities that really also strengthened our balance sheet. We have spent quite a bit of time, Judd, especially over the last six months securing and getting releases to certain potential liabilities. We did that fully and successfully ultimately permanently eliminating over $4 million in liabilities from our balance sheet, strengthening it and even though those are non-recurring, the improvements to the liability profile and to the balance sheet are real. As I mentioned, we also did invest here in the first quarter. We expanded our leach pad. We originally scheduled that in our budget for the year in Q2, but we made a decision early in January to move it up to Q1. It ended up coinciding with the road work that was better lucky than good, because we didn’t planned for any of that road activity to occur when it did, but that really minimized the downtime that really resulted from that road occurrence. We were able to also consummate some pretty strategic land purchases, a handful of them. We did spend over a $1.5 million, but those lands were all adjacent to our mine, adjacent to our processing center and opportunistic. Although, we expect to spend some more money this year on land payments for purchases that have already been announced and committed. We don’t really foresee any major new land purchases or commitments like that going forward. I think that we have really have pulled together this consolidation. We have consolidated substantially all of the mineralized district, if not all of it in most context. We have effectively re-zoned and/or re-permitted substantially all of our properties for exploration development and/or mining activities. We are really full and complete in that context. And I am happy to report that we also expanded in the first quarter our Special Use Permit which most of you are aware was massively expanded last year, but we have already expanded it and updated it to include all of these new properties as well. Coming back to the road, that’s where most of this drama occurred for our quarter. We don’t love drama. It came in early February when the Nevada Department of Transportation closed about a 2 mile section of the State Route, which from this point forward I will called SR-342 standing for the number of the State Route. It’s south of Gold Hill and as a safety precaution following some roadway deterioration, some cracking and specific sinking that occurred in February because of weekend of heavy rain. The road was closed. The area of sinking really is a part of the road that sits above a historic mine shaft dating way back to the early 1900s and that portion of the road also sits on a significant amount by a limited context over 0.5 million tons of all historic sale and mine dumps that really from a structural stability standpoint really could never permanently sustain and maintain that road safely. Although some people would truly love to believe that we are the cause of that instability. It’s just hard wash. I’m sure you’ve seen some of the joint releases by us, NDOT and the county. We’re really the lead path of this solution, not the cause and we could not be happier with the reception from the county, the support and acceleration of permitting from NDOT and the county. And everyone has really rolled up their sleeves, worked as a team and really driving to an accelerated permanent solution where this county will get, not only a solid strong safe roadway but also it will be in proper proximities and proper positioning for our mining and the work that we want to do going forward. All of this has been accelerated ultimately to everyone’s benefit because of the fact and circumstances that occur here in this quarter. We’re implementing the plan. It’s fully moving forward. It’s really an accelerated realignment of the road to the east of historic mine-shaft. And frankly, we were well into the planning of doing this. We were thinking about various alternatives but circumstances allowed for a really coordinated accelerated approach. The whole realignment will occur in two phases, the first phase being completed in early June, the second phase being completed certainly well before the end of the year. And I mentioned earlier, there is just an exceptional pictures that are linked right in from the press release on to our website of all of this activity and that gallery will be kept current from this point forward. We’ve mentioned that the project has an estimated cost of $3 million. As we stand right now, we are on plan both in terms of time and money. We did draw on the revolver because of the road activities in some of these land purchases during the quarter. But we also paid down about $2.7 million of debt during the quarter. So our net debt increase was up. We're really not that dramatic. Our cash position is well over $4 million. We remain cash positive from operations and from an operational standpoint, things are getting very routine for us and very positive here as we move forward. If we summarize the big picture in the production standpoint, we’ve proven our great profile which improved all through the year as we’ve communicated and expected from our revised mine plans from last year. Our metallurgical yield is showing great stability and it’s a high number, higher than we originally expected. We were really proud and happy about that. And finally, the strip ratio has not only come around, it’s actually looking very excellent. So except for the production disruption, we’re firing on all cylinders. We’ve expanded the land, expanded the permits, expanded the leach pads. We passed MSHA, MSAT, NDEP. You name it, we audited did this quarter multiple times in some cases. And those activities, they not only do we pass but we get stronger in our relationship with their regulators get stronger and we couldn’t be safer. We’re very, very happy about all of that. Let me move on to looking forward a bit with the discussion about exploration and development. We previously discussed how our geological and engineering teams have really significantly advanced our understanding of Lucerne geology over the past year. I mean, a tremendous amount of pre-drilling development of that geology, including mapping out detailed cross-section and level plans. They’ve all been completed for the east side. And now the result is the quantification and identification of some very, very precise targets. You are aware of the surface targets, which we’ve already been drilling. And we reported tremendously good results. Just recently, we updated those results with an additional 30 drill holes on the east side on the surface. We defined a zone of very, very high grade near-surface mineralization on the Succor and Holman patent claims on the east side of Lucerne. We’re confident about their economic recovery based on what we know so far and we’re working very, very hard to define and expand the mine plants associated with that and that will occur here in the second quarter. As you see from the details that were released and we resubmitted in this release, we have 25 hits with intercepts of greater than tenths of an ounce per ton and with average grades well in access of our current surface mining averaging over 0.05 ounces per ton. More remarkably and what we’re talking about here now for the first time is that we’ve defined a very specific first phase underground target. And if you again link to our website from the press release in this section, you’ll see some very, very early but detailed cross-section examples, level-plan examples and ultimately structural pictures of this zone. The area that we’re talking about fits just north, just in front of the base of our northern Lucerne mine pit floor. There is over a 0.5 million tons of an almost immediately accessible high grade quartz porphyry host that we already have within scope of this rock type and within the scope of this mineralized host. Over 44 drill holes intercepting again over a tenth of an ounce per ton but with average grade not similar to the surface, ones that I just described but much, much higher. We have average grades in these intercepts that we’re talking about over a tenth of an ounce per ton hits at almost a quarter of an ounce per ton. We similarly had another 22 drill holes just outside this host rock with the exact same results, creating over a tenth of an ounce and averaging over almost a quarter of an ounce. So these structures which extend off of the floor of the existing mine and then connect over further north of the Woodville structures which are bigger than this whole structure I just mentioned. We haven’t really named it yet. It looks like an elephant’s head when you are looking at the slide or the picture on the website then connects back across and down dips into the Chute Zone. And so there is this entire interconnected high-grade hosting structures. You can expect a lot of upcoming details goes out in parameters on this geology in future detail releases in reasonably near term over the next few weeks and months will be a fully focused on getting into these structures. I expect that will be mining underground this year although we do have final feasibility work to complete. And we have to develop a drift and establish drill stations underground. But all of that will be at a lower investment cost initially. I think we were talking about before just the underground drilling in this first phase. We’re expecting to spend a little over a $1 million. Actually, if I think about the next phases of exploration, it can be summarized as this underground drilling that we want to do into these high-grade targets. We have some surface core drilling to complement the results that we’ve had over at the Succor and Holman and then we’re not counting out in our 2015 program, of course, the Dayton and the Spring Valley areas. The Dayton detail is being finalized early as we speak in terms of plan. We’re going to be sharing those plans with the public and the community as we’ve committed previously likely over the next number of weeks. We don’t have dates and meeting schedule but we have to and want to do all of that before the plans are truly finalized in any real drilling and development commences but it’s imminent. Those activities are imminent and again we’re going to be very happy to share separate releases and details to those areas as much as we can. So the transparency will be good. The excitement will be high and the progress will be accelerated I think as we move forward from this first quarter. Our goals this year are to ensure the lowest operating cost possible to expand Lucerne both surface and is rapidly developing underground opportunity. We expect to be cash positive from operations throughout 2015. And now that we have a better line aside for the next few quarters under development that I’m talking about while expanding the mine in the mining activities in multiple fronts both in the third and fourth quarter. And lastly, getting to the point where we have a second fully integrated mine plan, community plan and ultimately moving forward in the Dayton for commencing the permitting. So let me pause there Michelle. We’re going to go to questions and answers. I do want to let everybody know that the format for the Q&A session will be more concise as Michelle mentioned previously to the extent that any investors are not able to get through under new format, our team, including Kim, Judd, myself et cetera. We’re all available for direct calls and we’ll most certainly make sure that ultimately we connect with everybody and that all of our questions are answered. But with that, Michelle, can we return to the Q&A format?
Operator: Thank you. [Operator Instructions] The first question comes from Heiko Ihle of Wainwright. Please go ahead.
Heiko Ihle: Good morning.
Corrado De Gasperis: Hey Heiko, how are you?
Heiko Ihle: Hey Corrado, thanks so much for taking my question and call as well.
Corrado De Gasperis: Very well. Thank you.
Heiko Ihle: Congratulations on all the progress with the SR-342 road, as you know, I have driven on it quite a few times getting to your mine site. You mentioned in the press release that the cost for the road work will be about $3 million. Can you break out when that money will be spend between phase 1 and phase 2 ideally even quarter-by-quarter?
Corrado De Gasperis: Yeah. So from the end of March to the -- let's say end of June, we’re talking about just a little over 1 million. So in fairness, we’d say 1 million in the second quarter. And I expect that not linearly but for the most part pretty close to linear, the other $2 million over the last two quarters. So roughly $1 million a quarter for Q2, Q3 and Q4.
Heiko Ihle: Got it. Pretty bite size for that, I like it. Going through production outlook for the remainder of 2015, just help me and walk me through what we should look for with the changes in production compared with Q1? Where from the mine site are those increases coming from and should we expect any additional CapEx to be spent in order to get to this target places?
Corrado De Gasperis: Yeah. For most all intensive purposes, we are mining on the flat, sort of floor of the Lucerne patents for most intensive purposes. To the extent that we are doing a lot of this excavation required for the road relocation. There are some amount of dump materials that we have been pre-approved by the Nevada Department of Environmental Protection to move out of there. Some of that material has some legacy contaminants associated with it, be it lead or mercury and some of that material has grade in it, which we haven’t been shy to talk about or report. So it’s all somewhat contained within that Lucerne area. So it’s actually quite stable as far as we can see for the next six to eight months and in that time, we will have more specifics about how we advance the mine from there but that’s stable from a capital expenditure standpoint, really nothing beyond the road other than spending just about quarter of a million dollars for an extended overland conveyor system. As we expand our heap leach pads, we effectively have to extend the conveyors and the grasshoppers that allow us to take that or to further portions of that pad position. So nominal, I say other than the road, which is the primary focus and I think with the pictures on the website, people can start to get an appreciation that moving the road and cleaning up the environment and recleaning certain aspects of the mine and the mining activity and extending it are sort of all synchronizing schedule into one project. Certainly, so far as we get to June then the road will be reopened with a permanent bypass and then we will resume our activities with some safe crossing of that road until the final Phase 2 work in all of the road construction till the southern part is completed and done.
Heiko Ihle: Great. I know you always get a lot of questions on these call, so I will stop hogging the questions. I will just leave with a thank you. You guys are doing all the right things and Jake and I look are looking forward to seeing in three weeks out at the mine site.
Corrado De Gasperis: Looking forward that too. Have a safe trip when you get out here. It will be informative.
Heiko Ihle: Thank you.
Corrado De Gasperis: Sure. Thanks.
Operator: Thank you. The next question comes from Marco Rodriguez from Stonegate Capital. Please go ahead.
Corrado De Gasperis: Hey, Marco. How are you?
Marco Rodriguez: Doing well. How are you?
Corrado De Gasperis: Thank you.
Marco Rodriguez: Let’s see -- so, I wanted to try to get a little bit more color here in regard to the mining in the quarter now. Obviously, I heard prepared comments that you had about three weeks of downtime for the road and for the heap leach. Can you kind of give us a sense as far as how much that kind of impacted the quarter from a production standpoint?
Corrado De Gasperis: Yeah. I think the impacts were probably about -- in terms of the ounces forward, maybe a 10% or 15% shortfall. We will have a little bit of that, sort of seeping into April, as well because of the heap cycles. But I think most of it was contained. In the first quarter, we expect to have a higher ore deliveries. In the second quarter, we expect to have lower strip ratios in the second quarter and we expect to have a full effect, a full quarter effect of our cost reductions in the second quarter. So higher ore, higher pullers, lower strip ratio, lower cost is sort of the directional summary.
Marco Rodriguez: Got it. Okay. And then with those expectations, are you looking at having the tons that are mined for the year, exceed what you guys did in ’14, or is it going to be a bit lower and just going to kind of make it up with the lower strip ratio when it comes to the force?
Corrado De Gasperis: I think for the first three quarters, it will be a little bit lower in terms of ore. It will be a lot lower in terms of costs. So that’s why we came on being profitable here. And then we will have much more precise guidance in terms of the revenue line as we finalize the definition of these expansions and so very stable. In terms of ore flow very stable and reducing in terms of cost but positioning for growth, as we figure out the best way to proceed on these three further developments, expanding the surface mining Lucerne, developing the underground mining in Lucerne and then ultimately commissioning our second mine in Billie.
Marco Rodriguez: Got you. And then two other questions are kind of housekeeping items. On the G&A side, the $2.1 million in the quarter, which you had about $400,000 in one-time severance costs, excluding that we are still at about $1.7 million, $1.8 million for a quarter. Is that kind of a normalize run rate that we should be thinking about going through ’15?
Corrado De Gasperis: That’s a normalized run rate and we’ve targeted an additional -- we've targeted additional million and a half of non-mining cost reductions of which not all of that is fully on the G&A line. But I would say certainly two-thirds of it would be normalized out of $7 million, looking to bringing that down by another point two quarter of a million per quarter as we progress forward.
Marco Rodriguez: Got you. And then last one. In terms of your guidance for being net income positive for fiscal ’15, if we were to exclude that $3.2 million non-cash, continue to see reversal, would the guidance still be net income positive?
Corrado De Gasperis: So my view when I first guided was that we would have that each quarter. We did contemplate the non-recurring item for the first quarter but with the improved cost profile going forward, we will get there, let’s say with our own two feet.
Marco Rodriguez: Okay. Got it. Thanks.
Corrado De Gasperis: Yeah. Even if you are saying for the full year excluded, we would expect a yes.
Marco Rodriguez: Okay. Even if you exclude that reversal that we continue to see.
Corrado De Gasperis: In a full year. The precise guidance really was that we’d be there each quarter, including it. But by the time we end the year, it should be without it as well.
Marco Rodriguez: Got it. Thanks a lot.
Corrado De Gasperis: Thank you.
Operator: Thank you. The next question comes from Chip Unsworth of Legend. Please go ahead.
Chip Unsworth: Corrado, congratulations. Can you hear me?
Corrado De Gasperis: Yeah. Inch by inch, we are making progress. Still some good stuff to do but we are starting to see some of it come through, which is nice.
Chip Unsworth: Well, looks like you are standing on your own two feet now.
Corrado De Gasperis: Yeah. We are just about. Yeah, I joked about the drama in the first quarter. It wasn’t really so much drama. There were just a lot of activity. So it was nice to see it get coordinated by our teams. It was more than reassuring to feel the coordination and support from the state and the county. Really it’s a team effort and it’s coming through.
Chip Unsworth: Well, the dollars and cents start to make you look good on a piece of paper. A couple of questions for you on -- thanks for the pictures and the maps and I will try to keep this short. But now that we are seeing profitability, I think it starts to become kind of interesting where your share price is. The heap leach cell number 9, are you stacking on that now?
Corrado De Gasperis: We just started to, yes. We just started.
Chip Unsworth: Okay. So you haven’t seen any flow through there yet.
Corrado De Gasperis: I mean, sometimes -- not really, not really.
Chip Unsworth: Okay. I’m looking at the pictures. I’m not sure if they are in front of a machine but I’m looking at pictures of the road, I think the first picture I’m looking I would be looking up 342 towards Gold Hill.
Corrado De Gasperis: Yeah. I’m just pointing it up as you speak. I have it. I had it up. Yeah. Yeah.
Chip Unsworth: Okay. So when I’m scrolling down and I’m seeing the bulldozer, is that actually where the road is or is that still in the Lucerne hit?
Corrado De Gasperis: No, it’s where the road is/was.
Chip Unsworth: Okay. So you really have -- okay, so you’ve really got into it. When you are speaking about the 640,000 tons of this dumping material, is it there?
Corrado De Gasperis: So in sixth, yes. Thank you for that clarification. So the 640,000 was an assessment of most ore in various regions but let me say that, almost 500,000 is in that general two mile stretch, yes. Most substantially, there is some others down by the ore and there is some others north. But that was the biggest concentration.
Chip Unsworth: Okay. So under the asphalt, the biggest concentration is literally onto the road.
Corrado De Gasperis: Well, yes, so technically about half of that, little more than half of that 500,000 was along side, both sides of the road and it was accessible even without the roads moving. It was -- and we were coordinating to do some environmental cleanup and ultimately move some of that material positively but when the roads gone, the number leaps up to almost 500. What’s key is this much more efficient to deal with it, you just keeping toeing around all the stuff.
Chip Unsworth: Right.
Corrado De Gasperis: It’s safer. It’s faster. It’s cheaper. It’s more efficient, right. And…
Chip Unsworth: Okay. So there is no blasting.
Corrado De Gasperis: There is no strip. Well, except for removing the asphalt, right.
Chip Unsworth: Okay.
Corrado De Gasperis: Technically, there is no strip and there is no blasting. There is no drilling at all.
Chip Unsworth: And there is no reclamation.
Corrado De Gasperis: Some of it, to be fair. Some of it, we don’t do even crushing, right. We just run the mine. So it’s just a win, win, win.
Chip Unsworth: Okay. So, when I’m looking at these pictures and I’m looking down the road. I’m looking down the road. So, I would be looking kind of southeast, yes, down the road, is that correct? So off to my -- if I am looking down the road, off to my right is the Lucerne pit, correct?
Corrado De Gasperis: Correct.
Chip Unsworth: Okay. And that Lucerne pit is how much below where the former road was?
Corrado De Gasperis: First picture, the very first picture where you see the ones pile on.
Chip Unsworth: Yes.
Corrado De Gasperis: You are looking north and the mine is on the left.
Chip Unsworth: Got it. Okay. Get it.
Corrado De Gasperis: Yes. The other picture is, you are right, okay.
Chip Unsworth: Okay.
Corrado De Gasperis: And then Steve ask your question again, I am sorry? Oh, so it’s about 40, 50 feet, it’s about 40 to 50 feet below.
Chip Unsworth: Got it. Okay. So in essence, the mine that you are currently mining Lucerne is below what the stacked material that was under the road by 40 or 50 feet, that’s correct?
Corrado De Gasperis: Yes. So say differently, the bedrock, the hard rock is 50 feet and is covered with, let’s call it loose mined up, loose fill and the mine, both the mining activity is sort of the more sturdy, harder rock, the high walls, very sturdy, hard rock, right. And so that’s why when your mine -- first of all, it’s safe and stable. But also when you are mining it, you do have some blasting, drilling and blasting, that’s required to make that material loose enough to miner way. That’s not the case with any of those loose fill.
Chip Unsworth: So you are able to go from the hole in the ground that you have at Lucerne right into the material under the road and which is going to expose the hill to the east, correct?
Corrado De Gasperis: That’s right. It actually stabilizes the hill, it makes the hill more sturdy, it puts us in further proximity, but it’s adjacent if that’s your question.
Chip Unsworth: Yes. And so you could in theory kind of go into the hill therefore underground?
Corrado De Gasperis: Exactly. And it’s much more. And here is there is two or three key variables, but the biggest one is that this whole hose drop type that we are targeting for the underground is oxide ore and means it leaches just the same, it’s the same rock types from Lucerne mine, but you can get it. You are looking right at, you are within the immediate proximity of it, but it’s hard hosted rock. So you go right underground. So you are going to ultimately have less overburdening, you are going to -- I mean in the best case scenario, you have no surface mining and you just be going underground around those high grade veins and big structures. So it really positions you, platforms you in the floor of the existing mine to efficiently go underground into those higher grade targets. That’s certainly where…
Chip Unsworth: Okay. So when I am looking at the first page on the hyperlink that you had in your news release, it’s the first page, it’s pink, it’s blue, and there seems to be kind of a shaft, I don’t know if the shaft is kind of running parallel to what was or where the road was. Is that the concept of going underground?
Corrado De Gasperis: Yes. So let me answer that question. So yes, exactly. So at the very bottom of the blue right, this is two dimensional, so it’s harder to impinge them.
Chip Unsworth: Yeah.
Corrado De Gasperis: But we at the very bottom of the blue, where its white is the northern floor of the Lucerne mine, right and then that 800-foot line that white road if you will…
Chip Unsworth: Yeah.
Corrado De Gasperis: … is a drift or shaft whatever word you would like to use that is into the bedrock, okay. You go right in. And then every 100-feet you have a little [indiscernible] sticking out, that’s a drill station, okay. And you could literally instead of drilling from a far, from a high above surface point and putting a pin into cushion right, you are literally staring at the structure and you are putting out an array of drill hose very, very efficiently that is going right into the heart of the structure and in our case…
Chip Unsworth: And that is under the hill that we are talking about to the east, correct?
Corrado De Gasperis: Exactly. The second picture which -- the first picture you are referring to and thank you for doing this is, it’s a two dimensional, call it a level plan, so it’s actually a level plan that’s flat from the surface. The next picture you’d call cross-section right. And it’s a great picture because, A, you see the same blue material right, you can’t see a full straight line of the road, but you see a white box right sort of the in the left.
Chip Unsworth: Yes. What does that say -- what is it, I can’t read that, station?
Corrado De Gasperis: That’s the shaft right. That’s 800-foot.
Chip Unsworth: Or proposed drilled station, okay. I got you. All right.
Corrado De Gasperis: That’s one of 100-feet [indiscernible] sticking out and then you see how you have 1, 2, 3, 4, 5 lines that spider out right into the heart of the hose drop that holes all that mineralization. And then just as an aside you see that yellow stuff at the top, they don’t material, that’s being cleared out, the loose fill material, that’s being cleared out, right.
Chip Unsworth: Right.
Corrado De Gasperis: So really you are going into the heart of the structure underground rather than continuing in the surface.
Chip Unsworth: And who is the gentleman that sits on your Board that is, I guess he has incredible background in underground mining?
Corrado De Gasperis: Bob Reseigh, yes, fantastic.
Chip Unsworth: Okay. And so I assume he has been working with you on…
Corrado De Gasperis: And coming out next week to review all of the progress and feasibilities in detail that we are doing very, very active, but one of the things that this also gives you the impression of real good contact is the size of the structure relative to the size of the let’s call initial mining. The initial mine, the Lucerne mine which on the third page of what you are looking at, you can see from the surface is, it’s small compared to the underground structure that we will be pursuing, I mean very small compared to the underground structure that we will pursuing, right.
Chip Unsworth: So, on that third page that you are just pointing out to where the road is, so that road is now just going to go up on top of that hill?
Corrado De Gasperis: Move to the east, right. Originally you’re talking about much more dramatic move east because of the context of significantly expanded surface mine. Now we are saying because it’s much more of an underground development, it doesn’t have to move thus far and so it’s positive in every regard.
Chip Unsworth: Okay. Let me just cover two things. One I want to get to the HOPE Coin. And two I think I said this like 1 million times too you are in the gold business or gold and silver business, I mean the stock business and the stocks had a kind of a rough ride over the last five years that we have been involved, whereas we had actually seen incredible progress in your gold business and now your gold business is profitable. I hope there will be some realignment with the stock and I think profitability will do that. But that being said, the idea of you being profitable and be able to stand on your own two feet, I would assume that you are not looking to the market for any money, so we can actually feel comfortable that there would not be dilution in the near future, correct?
Corrado De Gasperis: We are not interested in dilution. We are very internally focused right now to get all of these developments online and get our cost reduced. And just defining new opportunities to continue what we are doing.
Chip Unsworth: Good. All right. So lastly -- and sorry if I have hogged so much time here. I just want to understand this HOPE Gold Coin. I think most people don’t understand Bitcoin at all. But I think there is -- it’s being compared here. So explain to me the -- you received 300,000 coins, what does that mean to you business-wise, am I able to just do the math and look at this as $10 each times 300,000, or is this for you to make a stamp on and send out to?
Corrado De Gasperis: Let me explain. So thank you for the questions. It’s very important. And I can do a better job explaining this going forward. So first and foremost, the arrangement is very, very simple and it’s very non-encumbering to us. It doesn’t impact our business in anyway negatively. Say it a different way, there is a charitable trust, that thesis for philanthropy is selling these Hope coins. They are unique in three or four major ways. One is they have full -- they are fully insured in electronic wallets. They have anti-money laundering and know your customer and protocols, which are extreme and positive and they are backed and committed to ultimately be fully backed, to be backed each one by a 10th of a gram of gold, right. So that’s uncommon and it’s very positive. So they are safer, they are protected and they are backed, okay. Initially as they are starting up and getting going, they are leasing the gold from us. That means for every coin that they sell, they will pay us $0.12. So if they sold the full billion allotment okay, the 120 million we are not expecting that, certainly not in any near term. But even as they sold 50 million, 100 million it’s meaningful to us, okay, in terms of let’s call it lease revenue. If we were ever to mine the ounces, we would be released from the obligation, but we don’t foresee because we have so many ounces in our resource that that would even become the problem, but if it did we’re protected. Lastly, the payment that was made, really it doesn’t have let’s not call it a material financial implication to anything right now because the one major thing that they are doing is they are getting the coins into circulation and they are creating liquidity and creating the market, okay. So until that liquidity in that market is made, the value of the coin is really hard to support and so we’ve accepted a prepayment if you will to help that liquidity start happening. But in the ultimate sense, cryptocurrencies are without any doubt in my mind here to stay. I think the ones that are protected and safe and proper like this one will ultimately win in terms of the circulation. It’s stunning. Am I still there? Are you still there?
Operator: I think we were placed on hold by Mr. Unsworth.
Corrado De Gasperis: That’s fine. I’ll just finish my thought, the prevalence of them is moving forward. This is the type its back with real value. And lastly, this isn’t a venture capital move by these people. This isn’t a profit move by these people. It could be very profitable to us certainly. But this is a charitable move by these folks. And so what they’re doing is integrating charitable trust around the world and trying to enable this electronic payment system. Just as a last I know, the most active thing that’s happening in this space is a massive atomization -- automation of payment systems and payment processing system that handle these digital currencies. So I think we’re on the frontier or something, what it ultimately means to us will be to see. But the potential is extremely high and the risk as far as I asses it is near zero. So we’re happy to support something positive charitable and potentially very profitable.
Operator: Thank you. The next question comes from Steven Shipman of Century Management. Please go ahead.
Steven Shipman: Yeah. Hello, Corrado and Judd.
Corrado De Gasperis: Hey, Steve. How are you?
Steven Shipman: Good, good. Congratulations on the progress that’s being made and significant progress. Actually a little bit surprised, happily surprise by the outcomes of the first quarter given some of the challenges. So here to be well commented on that. Chip and others have asked good questions. I would like to focus on more micro levels, if I could for just a second. And Corrado, I’ll direct it to you, but if you want to turn it over to Judd, if Judd wants to hop in, that’s fine too. Like, Chip, we’re in the stock business, not in the mining business and we’re generalist. So I like to run to a couple of items on the quarter.
Corrado De Gasperis: Please.
Steven Shipman: Relating to the cost of mining, so if I’m to do the calculation of the cost of mining that you had and the goal equivalent ounces that you poured and I divide that, I would come up with what generally might be called the cash cost of production, which comes out to just under $680 an ounce, is that fair?
Corrado De Gasperis: You are using the $3.7 million of…
Steven Shipman: Yeah.
Corrado De Gasperis: … gold, yeah.
Steven Shipman: Yeah. Yeah. Okay. So but -- and this is the real essence of my question. But you stacked the hell of a lot more than that. You stacked 700 or 6,000, almost 7,700 ounces, and if I divided that into the cost of production, it would be about $484, almost $200 less per ounce, fair enough?
Corrado De Gasperis: Yeah.
Steven Shipman: And so most companies kind of pour what they stack if you will or pour what they produce? As an emerging company you have a little bit of a gap there. So my question, I’m trying to understand the direction, the ultimate direction of cost is, how much more does it cost to pour the ounce after you’ve already stacked it? Because if you’re stacking cost are way this low, if we could understand what that dimension of cost is between stacking and pouring than we could get an idea of how really low your cost appear to be directed.
Corrado De Gasperis: Yeah. So it's good -- all good question. Let me comment on the few things.
Steven Shipman: Sure.
Corrado De Gasperis: Thank you for highlighting. We did stack despite not stacking for three weeks. We certainly stacked more ounces in the quarter than we poured, which is positive, in terms of the asset and leach pad, of course. We actually -- I will double check my numbers, but our average cost per ounce stacked at the end of the quarter was the lowest that we’ve had life of mine. I think that estimating processing and related cost, you’re certainly staying below $700 and in the $600. And I think that, I have to double check, but as I think to, at least our variable cost and our labor component in the later part of the process, both are much lower. In other words, crushing, well, I’m sorry, leaching and processing and refining is probably 25% of what mining and crushing has historically been.
Steven Shipman: Okay.
Corrado De Gasperis: Having said that, right, mining cost have come down materially with the strip ratio, right. So that as a percentage of the total that number is moving a little bit. I’m knowledgeably estimating it might be 35% of the cost…
Steven Shipman: Well, even if it is 355, I mean you’re still at like the 6 low -- mid 600 range or something like that.
Corrado De Gasperis: Together in my mind…
Steven Shipman: Yeah. Okay.
Corrado De Gasperis: Although, I’m doing double checking and follow back up with you afterwards, if you don’t mind also.
Steven Shipman: No problem. Since the ounce is poured determine the revenue stream and if I look at last year’s quarter you did about 6,000 ounces stacked and that translated to about 5,500 ounces poured this year, which is about 90% of the stack? Should we as investors look at a similar percentage for next year’s pouring that if its 90% of 7,700 ounces stacked or can you guys turn on and off the spigot on what you want to pour versus what is stacked? I mean, given some level of time, of course, for the leaching process?
Corrado De Gasperis: So what -- those are great -- they are all great questions and I can answer. So generally speaking, leaching processes in terms of lifecycle and we’re talking now literally shutting off a cell, right, okay, 180, 190 days have gone by and shut off a cell.
Steven Shipman: Right.
Corrado De Gasperis: Meaning, if we feel it’s exhausted and that means, that doesn’t necessarily mean there isn’t still gold that would be coming out, but it’s so little that the variable cost of processing it wouldn’t justify it, okay.
Steven Shipman: Okay.
Corrado De Gasperis: But more relevant to your point, we originally saw leaching cycle for the substantial majority of the ounces. Let say 90% at like 55, 60 days rather than let’s say 90, so full life of everything could be 180 days. Substantial life you call that greater than 90% took 90 days. We’re seeing it faster -- we’re seeing it faster. And I’ll make some caveat to that. When you have a brand new fresh pad and you’re literally putting material on the over liner, you have a fast cycle. When you’re at the top of the pad 105-feet up, that gold and silver has a longer joy ride…
Steven Shipman: Right, right.
Corrado De Gasperis: That they travel through, pass by all of its old neighbors and make its way through. But having said all of that, we’re seeing a faster cycle. We’re seeing a 45 to maybe 60 day, rather than a 90 day, right. So it is fair to assume that 90% of -- and then there is variation to that meaning. You get to a point where we can only have certain square footage under leach. So if we put in a fresh pad on, we’ll put that under leach and then we may activate in all pad which may -- could be reactivated later, so there is some variation. It’s not typically linear curve but the base assumption that -- we’ll get 90% of what will affect the prior quarter. It is a directional concept. It’s a directional guidance that could work. It could be better than that though. Like if we’re stacking higher grade, if we’re stacking more ore, you’ll see some of that coming through same quarter -- depending on when it will stack.
Steven Shipman: Yeah. Well, I asked it because its considerably I mean, the increase in four, year-to-year is okay, I mean, 3% but nothing to write home about. But the increase of stacking is 25% and that is more in compliance with the guidelines that you guys have laid out before in terms of the directional nature of your mining and the grades and the stripping ratios and all that kind of stuff.
Corrado De Gasperis: And then there is offsetting litigators. Like as I said, the new pad will give you a little bit faster cycle but we’re already -- we’ve done some column test on the new material and some of that dump material also, that’s leaching a little slower. So net-net I think everything you said is rationale.
Steven Shipman: Okay, okay.
Corrado De Gasperis: It’s just variation factors and that could be effective but in grand scheme of things, I think it’s pretty astute observation.
Steven Shipman: Okay. Great. Well, thank you for that. And I’m just going to ask one more question and let others hop on and might come back for a couple of more if you have the time. But the next question I have is regarding the purchase, the strategic land purchases. You touched on it just a little bit and I think everyone kind of understands the need and necessity of having lands that are immediately adjacent to the heap leach pads or the crushing facility or whatever to expedite hauling and crushing. But these things tend to pop up opportunistically and erratically. Outside of anything that actually affects more immediate production, Corrado, by that I mean within the next year to three years. Is there a company wide philosophy or company wide game planned as to how that capital gets allocated into land purchases? Because I think many would argue that their case would argue that there is better uses of that money than just buying land.
Corrado De Gasperis: There is -- and I appreciate the question. First, I could be specific to, first, I would say that.
Steven Shipman: Yeah.
Corrado De Gasperis: What occurred in the last five months, there was some less material items in the fourth quarter. There were some less material items in the first quarter and there was one pretty material item in the first quarter. Those were opportunistic and I think driven by our expanded permit, in other words, not only did our expanded permit put those lands squarely in the target of something that could be used more immediately for mining and for processing. But frankly on the psychological flip side of that, I think that there were some folks that were probably monitoring the situation and saying are these guys around, are these guys going to be around to stay forever or is this going to be another pie in the sky kind of thing to close on, right. And I think that people realize we are here to stay, and we are more willing to -- much more willing to move on and in all cases, it was positive for the people that sold and it was positive for us. Having said that, right, we’ve committed to a couple of 100 acres that are not immediate, south of our leach pad. We’ve hard commitment. We’ve committed to about 400 acres in Lyon County. We have an option on 1500 acres in Lyon County. And there is one more -- and we are paying off the ownership with the Dayton properties overtime. And there is not going to be anymore paid -- opportunistic big purchase like from a chessboard perspective or for a strategic land position perspective, it’s all secured. And we now have -- and we didn’t have it. There is two -- there were two items specifically in the first quarter where we frankly had no flexibility in timing. To my annoyance but it is what it was and we had to deal with it. I don’t foresee that. We’ve not historically ever had that and I don’t foresee that going forward and they’ll all be -- it’s secured. It’s for the company’s benefit and it’ll all be paid properly and overtime without big lumps and things like that so.
Steven Shipman: Got you.
Corrado De Gasperis: I appreciate the question. It hasn’t -- some of it had to be opportunistic and frankly in a -- you have one shot at it kind of notion as well. So we don’t -- we just felt we couldn’t do anything other than nail it down.
Steven Shipman: Great. Thank you. Thank you Corrado very much.
Corrado De Gasperis: Thank you.
Operator: Thank you. The next question comes from Zach Zolnierz of Solus. Please go ahead.
Corrado De Gasperis: Hey Zack how are you?
Zach Zolnierz: Hey Corrado, how is it going?
Corrado De Gasperis: Good sir.
Zach Zolnierz: Couple of questions, I guess. The first on the cash flow statement, there was a big use of cash and accrued expenses, just wondering, I guess what that was, what caused it?
Corrado De Gasperis: Yeah, set easy ones, Zack, it was so -- the elimination of the liability of 3.2 million reflected as other income. So it’s in the net income line at the top and it’s just a -- it’s a back out at the bottom. So to say it better, it’s a non-cash income at the top and we backed it out as a non-cash use at the bottom. So it’s just that reversal of the tax liability. So it’s really not and -- we didn’t write a check for that amount, right. It was more of an accounting in and out, I guess, to the right net cash number.
Zach Zolnierz: Makes sense. And then the second one, just going back to the guidance, I think earlier you had talked to the net income guidance but I am more focused on the cash flow part of it where I believe it says operating cash flow and investing cash flow will be positive?
Corrado De Gasperis: Yeah.
Zach Zolnierz: I just want to clarify is that, is that like a full year 2015 number which includes Q1’s performance or is that just a go-forward guidance?
Corrado De Gasperis: Well, it was intended when it was first stated and when it was restated, it’s intended to be a full number. The two material items that accelerated on us with the -- certainly the land purchase that we just talked about and then also the initiation of some of the road work earlier than expected. But we are looking forward to, I guess, I wouldn’t include land purchases in the guidance if we are talking about cash flow from operations and capital expenditure which is the -- it should be the entire investing section, but, I guess, I wouldn’t include land.
Zach Zolnierz: Yeah. That’s what I was trying to clarify because I am just thinking on a go-forward basis what -- and let’s say we exclude land purchases, like what are the assumptions behind ounces poured for the rest of the year, what type of margin you are making per ounce and then I guess what’s the CapEx budget for the rest of the year?
Corrado De Gasperis: So the capital plan for the rest of the year, really only includes major maintenance and with overland conveyer system that I mentioned. So if you are talking about $0.5 million between just -- what I would think of is routine major maintenance, be it crusher and or the fleet and this overland conveyer system, which is a part of quarter of a million dollars. So when we talk about spending $3.5 million, we are talking about $3 million for the road and $0.5 million for those kinds of things and that’s really it. We don’t -- we could accelerate some leach expansion. We don’t currently have that in the plan. So we’ll just gage that as it goes. So from a guidance perspective, we are really looking at obviously being higher than this quarter. But for the next two quarters, we are in this. And I’ll give you a broader range, but 20,000, 28,000 sort of range on a run rate basis. And then we are looking to ramp that up with the expansion opportunities that we’ve laid out. And I really feel -- I feel that we are very, very close with the drilling and the geological work that we’ve done has given us tremendous advancement in being able to see what’s coming. But that’s -- it's still not sufficient for fully nailing it down and being able to modify, let’s say end of third quarter, beginning of fourth quarter guidance associated with it. And so I can’t be more specific for the entirety of it until we have those pieces in place. Having said that, we have a very clear view of the next few quarters at the current rates and we are not just full of mining. So there’s a little bit of a restriction there. We are mining and we are rerouting the road and we are doing some reclamation. But having said that, with a much lower cost infrastructure, we are able to handle all of that and some more. So, 22 to 28 is sort of a rate range. For the revenue line cost coming lower, I think we’ve been precise on that and that will generate the cash we need to not only be profitable but to cover these outlays that we’ve talked about. And really there’s only one big one, which is the road and it’s paramount. It’s always been paramount to the future of what we wanted to do. So in many ways, it’s a higher expenditure sooner but it’s behind us faster, so we could move forward.
Zach Zolnierz: So the 22 to 28 that’s gold equivalent ounce annual run rate?
Corrado De Gasperis: In that range of 6,000 to 7,000 ounces as Steven was talking about.
Zach Zolnierz: And then on the CapEx number, you mentioned $0.5 million and then $250,000?
Corrado De Gasperis: No, I meant $0.5 million in total, so about $250,000 for the overland conveying system and about $250,000 for -- let’s just call it major maintenance.
Zach Zolnierz: And that’s for the rest of the year but that includes everything with the road.
Corrado De Gasperis: Yeah. And then $3 million for the road, $1 million per quarter.
Zach Zolnierz: Got it. So, $3.5 million?
Corrado De Gasperis: Right.
Zach Zolnierz: And there’s nothing in that budget then from the underground standpoint? I mean…
Corrado De Gasperis: No, we haven’t. We’ll wait until it’s defined and so far the only definition that we have is a little over $1 million to establish the drilling from an underground perspective.
Zach Zolnierz: Net $3.5 million?
Corrado De Gasperis: We’ve been very methodic on that front.
Zach Zolnierz: Is excluding, what’s the exploration budget for the rest of the year?
Corrado De Gasperis: So the exploration intense for the rest of the year is about $1.5 million associated with Lucerne in terms of $1 million for the underground component and about $0.5 million for the core surface component. We are defining about a $3 million, maybe a little over $3 million program for the Dayton.
Zach Zolnierz: And the $3 million for date and that’s -- that could extend into 2016?
Corrado De Gasperis: Yeah.
Zach Zolnierz: That’s not this year.
Corrado De Gasperis: Yeah. And we haven’t, except for some real efficient sort of near surface drilling that we started just recently. It’s literally taking the blast rigs that we use in the mine and to the extent we are not -- we are not needing to drill and blast for some of the activities that’s going on right now. We redeploy that rig and get some real good surface definition. What that ultimately does for us, similar to the Succor-Holman results, it not only gives us really tight definition up to about 100 feet but then it allows us to preclude more expensive deeper drilling into those same structural areas. So, we haven’t initiated the spend on Dayton and we are going to finish -- we are going to finish the more detailed drill programs based on some of this near surface. We are going to review it locally and with the community and then we are going to -- and then we are going to really launch it with a release that will lay out the actual drilling, lay out the actual timeframe and lay out the cost. But the cost won’t vary from what we’ve talked about.
Zach Zolnierz: Okay. I appreciate it. We can follow-up after so.
Corrado De Gasperis: Great.
Zach Zolnierz: Thanks.
Corrado De Gasperis: Thanks, Zack.
Operator: Thank you. The next question comes from Barry Pasikov of Hazelton Capital Partners. Please go ahead.
Corrado De Gasperis: Hi Barry. How are you?
Barry Pasikov: Hey. I am doing well, Corrado. How are you?
Corrado De Gasperis: Good to talk to you.
Barry Pasikov: Hey. Can you do me a favor? Just clarify in Q4, you stacked about 8,800 ounces. This quarter, you mentioned you headed some downtime with your mining and you stacked 7,600 ounces. Can you just give me an idea what you are looking for as a run rates for the end of the year?
Corrado De Gasperis: Yeah. So, I certainly see in the next two quarters, stacking at a rate of -- I could even broaden the range thinking -- just thinking about the grade variation 6,000 to 8,000. I don’t -- the fourth quarter I don’t have as much visibility on, although it doesn’t -- it’d be surprising if it was less than that, right. We know the areas. We want to go to. We just haven’t nailed down the final components of the mine plan.
Barry Pasikov: Okay. In a recent blog, you guys talked about this kind of duck tailed what Mr. Shipman was talking about. In a recent blog, you mentioned, your all-in costs for 2014 was about 1,243 and you’ve guided sub 1,000 for 2015. Is that accurate?
Corrado De Gasperis: That’s right.
Barry Pasikov: And so to go even further, did you see that like below 1,000, do you have a more specific number you have in mind?
Corrado De Gasperis: When we think about the components, right, if we are looking at 750 for all-in cost, all-in cost of mining, the 150 for the -- in general administrative cost and you really -- once the infrastructure for the road is build, I mean you have a scenario where you will be sub-100, I mean in some cases 50 to 75 for maintenance capital. So that sort of how it breaks out. We are certainly not precluding better mine plan, lower cost, better great profile. And the underground could have a meaningful impact positively. So on the performance, we just don’t know yet enough. Our view of the underground is that, if we can find ourselves in the scenario where we’re moving less tons of much higher grade for the same end or the better revenue results than it’s a breakthrough. And that’s really what we are trying to see. Can we get a breakthrough here with just more intelligent engineering and more intelligent mining, and quiet frankly safer and more environmental friendly to the extent you are in the underground? So we just don’t have i's doted and t’s crossed, but from a geological structure, from a known mineralization, from a proximity to the ore, from ore type meaning oxides, it looks good. It looks good. So we just need a little bit more time. I’m certain in the next two or two and half months we’re going to have it all nailed down. That’s really going to translate to a lot of information flowing in terms of the geology and in terms of the planning. And then it will culminate I think certainly by the next call, hopefully before the end of the quarter with updated guidance that does speak to what it means to us for the rest of the year and beyond.
Barry Pasikov: Understood. And one final point, can you talk a little bit about your current drill program in the sense of -- do you see this drill -- obviously, you’ve had a lot of success that you’ve reported so far, but do you see this drill program in terms of ounces under reserve coming in what you’ve seen in the previous program?
Corrado De Gasperis: Yes. And so it’s very niche and there is three forms in drilling, two really predominantly like reverse circulation and core. Core is more defensive. Reverse circulation is faster and more efficient. And then we have this notion of using our blast rigs to be near surface drilling. It’s not so common. So my point would be that we’ve done a lot of that efficient near surface rig drilling. The results have been better than expected. From a grade perspective, I think really better than expected, but we’re only to depths of the 100 feet, right. So it’s telling us the tremendous amount, it’s indicating something very meaningful, but we got to get those bigger rigs going 500, 600, 700, 900 feet below the surface. And then we get structural definition and then we get resource estimation and we can actually engineer something out of it. So indication wise it couldn’t be better, frankly. I couldn’t imagine it being better than what we’ve got so far, but it nascent. We are 5% to 8% into getting it all done. And it hasn’t cost us very much at all. It’s been a great directing ride for us, because it will save us tremendously on when those bigger rigs get deployed because we’ll be much more precise. From a underground perspective, it’s everything that I just said to another scale, because if you’re going -- if you’re drilling underground, typically you’re drilling very, very deeply. And you could literally have 1200 foot hole, which only the last 200 feet means anything to you, right. So you can appreciate how inefficient that would be, plus when you get pass 500 feet, the cost per foot goes up dramatically. So to be able to get underneath and start plugging into the structure in almost immediate proximity to already have all of the level plans and cross-section geologically controlled and mapped out, so you know where the gaps are. You can’t really define a more efficient program. So when you ask me were we be as productive. The productivity means, ounce is quantified for cross-pad. I think the answer is going to be absolutely we will. So we are excited about that. And frankly, we’d love to get these things deployed and the things that we’ve been dealing with have not been distractions. The things that we’ve been dealing with have not been sort of unknown obstacles. They have been things that are on our schedule. In the cases of road, it happened dramatically much quicker than we’re expecting, but these were things that had to get done. The leach pad had to get done. The land adjacent to it had to be acquired and expanded. The road had to be rerouted. So we feel like we are making tough step by step progress. Having said that, it needs to open up now, it needs to open up in terms of resources expansion and in terms of revenue growth. And although nothing is ever certain, we do feel good about what’s in front of us.
Barry Pasikov: And your timeframe for finishing up the drill program is still the same?
Corrado De Gasperis: Yes. I think that we’re on schedule. Even though the deployment of the bigger rigs is later than originally planned, it will be much more focused. So by the end of this year, well, I would say yes, in the sense that we expect that by the end of this year we’d be done with Lucerne, certainly that would be true for Lucerne surface and meaningfully true for the defined phases of the underground. It will be done for the phases we want to get accomplished. For the Dayton, we expect it will be done. It will be on the scale that we thought and the duration that we thought. I don’t think we’ll get the Spring Valley this year, but we still could. We still could. But I don’t think that we’ll. The geology in Dayton, we’re doing the same exact cross-sectional work at the same exact level plan that seem. The geological controls over the structures will be posting some 3-D looks at that similarly, not quiet right away because we still have some work to do, but once it’s done we’ll and we have, but it shows a lot of drilling. It shows a lot of opportunity which those two terms are synonymous. So I don’t think we’ll get. On that context, I don’t think we’ll get to the Spring Valley in 2015.
Barry Pasikov: So that hold up your announcing new reserves then until you do the Spring Valley or would you go with just the Dayton and Lucerne?
Corrado De Gasperis: Well, of course, we would just go with the Dayton and Lucerne and that’s really been what we have had so far. We could even go with just Lucerne and then go with just Dayton. The structures are independent enough that we could report as we go. So we’ll just see how that develops.
Barry Pasikov: Understood. Okay. Thanks a lot.
Corrado De Gasperis: We appreciate it very much.
Operator: Thank you. Ladies and gentlemen, the time allotted for questions and answers has come to a close. I would like to turn the call back to Mr. De Gasperis for closing remarks.
Corrado De Gasperis: Thank you, Michelle. I appreciate everyone’s time again. We got some input to try to make the calls more concise. There is a lot to cover here so I apologies. But I think we’ve taken good steps forward in that regard. And as always, if there is a follow-up questions or the other questions that weren’t able to have gotten in, please don’t hesitate to call and reach out to us directly. And we look forward to talk in to you all again very soon and hopefully seeing you at the May 7th meeting. Thank you.
Operator: Ladies and gentlemen, this does conclude the conference call for today. You may now disconnect your line and have a great day.